Operator: Greetings and welcome to the Canoe Second Quarter 2024 Earnings Call. [Operator Instructions]. I would now like to turn the call over to Jon Wolf, Vice President, Capital Markets and Investor Relations. Thank you, Jon. You may begin.
Jon Wolf: Thank you Paul. Thanks everyone for joining us. Welcome to our Q2 2024, earnings call. During the call today, Tony will update you on our business and strategy, Greg will provide an update on our financing activities, and Ramesh will go over the Q2 financial results and discuss the OpEx and capital efficiencies we continue to generate. Please be advised that we may make forward looking statements based on current expectations. These are subject to significant risks and uncertainties, and our actual results may differ materially. For discussion of factors that could affect our future financial results and business please refer to the disclosure in today's earnings release and on our most recent Form 10-Q and 10K and other reports that we may file with the SEC, including Form-8Ks. All of our statements are made as of today and are based on information currently available to us, except as required by law. We assume no obligation to update any such statements. During this call, we'll discuss non-GAAP financial measures. You can find a reconciliation of these non-GAAP financial measures to GAAP financial measures in today's earnings release, which can be found in the IR section of our website. With that, I'll hand it over to Tony.
Tony Aquila : Thanks John, and thanks everyone for joining us today. We will review our recent achievements and give some insights into announcements we expect to conclude in the coming quarter. As we advance into manufacturing, we are finalizing build specs and configurations with our most significant fleet customers. Once complete, we will align our supply chain and announce our projected delivery and allocation schedules for 2025 and into 2026. Turning to the quarter Q2 ‘24 was our largest revenue quarter, $605,000. Our lowest cash outflow was approximately 50% lower than Q2 ’23. On May 24 we delivered our first right hand drive, configured LDV 190s to the USPS, approximately 75 days of mail delivery in Atlanta, Georgia, in some of its seasonally wet, hot and humid weather conditions. We recognized revenue from Phase 3 of our DoD DIU battery testing program awarded to us earlier this year. Our customers have logged over 34,000 miles of real world industrial use cases. The Platform stability is attributed to our extensive partnership testing with our customers over the past few years. Our SM model took its first step service, maintenance and repair. This team is called QRF, a Quick Reaction Force, which functions similarly to military and aviation and has resonated well with our fleet, government and military customers. We also successfully deployed our first OTA updates to customers to enhance functionality and benefits to client workflows, often within 48 hours from request to update. On June 24 we received advanced manufacturing assets of arrival UK in Oklahoma, 44 containers announced in the last quarter, with an additional six arriving this quarter for a total of 50 containers. We are in the process of commissioning these assets, which advances our focus on vertical integration. On July 29th our OKC facilities, Foreign Trade Zone designation was approved for full activation after inspection and approvals from US Customs and Border personnel. On the international front, we announced a 20 vehicle purchase agreement with Jazeera Paints with the option to expand to 200 initial deliveries expected in late two second quarter of ‘24 and first quarter of ’25. With the quarter, we had multiple debuts in the UK of our 130 and 190 LDVs of our right hand drive commercial platform, and we hosted and attended numerous fleet shows and customer rides and drives on test tracks. On July 3, Red Sea global concluded intense on location testing in multiple environments, the pilot lasted 45 days in peak temperatures and conditions. We received numerous design awards in the quarter, including the prestigious Red Dot Award, the Green Good Award, and the one to watch at the Great British Fleet Show in the UK. Now let me give you a preview of what to expect from us in the coming quarters. Finalizing customer configurations, we have been focused on locking down specifications with our large fleet customers, which will inform our production and allocations in ‘25 and visibility into ’26. We continue refining our customer acquisition partnership fulfillment and post delivery services model, which includes customer deployment and testing of vehicles configurated for specific use cases and commercial terms and conditions expected by our clients. Walmart is an example. It was July of 2022 when we announced Walmart's order. We partnered with the Walmart team and completed 2 years of extensive testing and refining of specifications and use cases for our customers' workflow. And there are other examples of large customers in varying phases of how we work hand-in-hand to finalize specs and schedule. With USPS, our modular platform, we believe, is a good match with their need for a commercially available right-hand drive vehicle built for purpose. We are focused on the upcoming USPS RFP for electric vehicles expected later this year or in early Q1 of '25 for an estimated 10,000 to 12,000 units in that RFP. More on international expansion, targeting large fleet customers in our targeted geographies. The U.K. debuted at 3 commercial fleet shows in the quarter engaged with 8 of the 15 largest fleets. Mandated EV adoption creates substantial tailwinds, positive initial feedback on our LDV 130 and LDV 190 vehicles as a unique fit for the U.K. LCV market. Configurations, specifications, discussions for expected pilots to start in Q4. Red Sea Global. Pilot concluded successfully. It was 45 days over 3,000 miles in rigorous desert conditions, sand rock for 80% of the models; heat; 50% of the days were over 100 degrees with max of 120 degrees Farenheit and average ambient temperature of 99 degrees. We are focused on next steps as we outlined above about our customer engagement model. We continue to make targeted progress in our supply chain harmonization. During the week of August 5, we held our inaugural supplier engagement event at our OKC facility. We hosted representatives from approximately half of our BOM suppliers. The suppliers were able to connect with our long-term vision through vehicle drives and factory tours. It was the first time we've been able to open up the factory for their visits. We aligned on a path forward and continue to refine this as we ramp production together in the manufacturing phase. We continue to work on harmonizing our supply chain and finalizing our capital and debt instruments, including PO financing, especially since our only build -- we only build sold units for Grade A BBB creditworthy clients for 2025 and 2026. We expect this to reduce the cost of capital and maximize our flexibility to access other sources of capital, including incentives and non-dilutive sources. We are in discussions with multiple Tier 1 financing partners, more to follow at the appropriate time. Ramping up Oklahoma's workforce. As we accelerate the manufacturing phase, we are continuing the migration of our workforce to our Oklahoma and Texas facilities. With that, I will now turn it over to Greg and look forward to answering questions after your message section.
Greg Ethridge: Thank you, Tony. I spend a lot of time with our team on the road with investors, customers and suppliers. It's been gratifying to see our model play out despite a difficult macro environment. and I'm proud to see the progress being made every day and week with our team at Canoo. It's not always evident from the outside, but it's a lot of work to build a dynamic company that is positioned to win in the long term. and it's important to be in the trenches with a dedicated team you trust that produces results. We have a lot of great things happening at Canoo. And as you can tell, we're excited to share them. Remember, our team is not focused on the short-term, month-to-month or quarter-to-quarter, but are instead focused on the long game, putting the building blocks together for long-term success and value appreciation and it's been volatile. We appreciate our supporters, customers, suppliers, investors and other partners. Shifting to capital and resources. Not every team has a chance to work with a visionary CEO like Tony that has built global businesses in the past and is also a large funding partner. We're fortunate to have him leading our team. Growth doesn't take place in a straight line, and we need to be nimble and make tough choices at each phase. As you've heard from us before, our capital raising efforts are designed to carefully match the needs of our business while minimizing dilution. During the quarter, we raised $40 million of capital, which purposely matched our cash outflows. The funding allowed us to progress our manufacturing to pursue significant testing and to engage new customer deployments. The capital markets remain choppy, but the company has been creative and scrappy. Our funding success reflects the consistent access to capital from a wide variety of sources, but it is carefully balanced -- but it is a careful balance as we navigate the landscape. During Q2, we were able to secure financing, which was 35% prepaid advance from our partners at AFVP Partners preferred convert and 25% creatively structured as an advance on a tax refund. This quarter represents the first time we've raised a material amount of capital from nondilutive sources, and we are pursuing others. Thus far in Q3, we have access funding from the PPA to bring total year-to-date capital raise of $104 million. We are continually evaluating financing opportunities that best limit shareholder dilution. And we've been actively marketing Canoo with funds and family offices with a range of financial flexibility to continually diversify our shareholder base. We have been pleased with the significant number of financing opportunities we have been able to evaluate. Additionally, the substantial daily dollar volume of our shares of around 6 million to 7 million a day enhances options and accessing equity capital markets. But we do need to take a balanced approach. And as Ramesh will share, we have been very focused on managing our capital and outflows. Further, we recently were added to the Russell Indexes, and we believe this makes us an attractive option for institutional investors as we move forward. We will continue to manage the finances with our broader team in a disciplined way and raise incremental capital that meets the needs of the business, advancing into manufacturing. Now I will hand it over to Ramesh to cover the financial section.
Ramesh Murthy: Thank you, Greg. Now let me walk you through the results for the second quarter of fiscal year 2024. We continue to focus on our financial discipline. Key accomplishments include the following: As Tony mentioned, we had a record revenue of $605,000 in this quarter, derived from our USPS delivery and the Defense Innovation units contract. . Moving to the income statement. Our second quarter 2024 results are as followed: Research and development expenses totaled $16.8 million for the quarter, primarily compared to $38.6 million in the prior year period, a 56% reduction from Q2 of 2023. Our expenses were primarily driven by final engineering improvements, support for our pilot programs and testing as well. SG&A expenses, excluding stock-based compensation, totaled $20 million for the quarter, compared to $23.9 million in the prior year period, a 16% reduction from Q2 of 2024. The Q2 '24 also reflects an 11% sequential reduction when compared to the prior quarter of Q1 of '24. As it relates to our key, non-GAAP metrics, here is a summary, 38% or a $23.7 million negative quarterly adjusted EBITDA improvement from negative $62.3 million in Q2 of 2023 to negative $38.6 million in Q2 of 2024. 20.1% or $9.7 million quarterly adjusted EBITDA improvement from negative $48.3 million in Q1 of '24 to negative $38.6 million in Q2 of 2024. 80.6% or negative 2.53 [ph] adjusted net loss per share improvement from negative $3.14 per share in Q2 of '23 to negative $0.61 per share in Q2 of 2024. Now turning to the cash flow statement. We ended the quarter with cash, cash equivalents and restricted cash of $19.1 million. Net cash provided by financing activities for the 3 months ended June 30, 2024, was $38.7 million, compared to $76.2 million in the prior year period. Cash used in operations for the 3 months ended June 30, 2024, was $35.9 million compared to $62.3 million in the prior year period. $35.9 million cash outflow for the quarter was towards the lower end of the previous guidance provided in April of 2024. We will continue to optimize our working capital needs now and in future quarters. Our cash outflows from investing activities was $2 million for the 3 months ended June 30, 2024, compared to $15.5 million in the prior year period. We reaffirm our cash guidance as we have come in the lower range of the spend as we continue to focus on manufacturing as well as move into our Oklahoma facilities. Additionally, based on our current projections, due to the pacing of capital and supply chain harmonization, we expect our adjusted EBITDA to be between negative $120 million to negative $140 million for the second half of 2024. Let me turn it back to Tony for closing remarks. Tony?
Tony Aquila: Thank you, everyone, for joining us today, and we look forward to answering some questions. I would like to do a special thanks out to the teams that work incredibly hard, doing our tests in United Kingdom, Saudi Arabia. These were extensive long deployments and often put in use cases in weather conditions that were extreme. We love testing our vehicle in the worst conditions possible. This is the best way to build the character of the vehicle and it's a tribute to the perseverance, innovation and creativity, coupled with the scrappiness of a hungry team, and therefore, on behalf of the executive team, we thank all of you. . And in addition to that, we'd like to give our thanks to the supporters who have been great and across multiple continents. We look forward to advancing in the quarter and bringing some more progressive and meaningful and value-creating news ahead. With that, I turn it back to Jon for questions.
Jon Wolff: Paul, we'd like to poll for questions now. Thank you.
Operator: [Operator Instructions] Our first question is from Dan Ives with Wedbush Securities.
Dan Ives: Good job on the progress this quarter. So could you just like -- in terms of the capital raise, do you expect it's going to be the same every quarter, given the needs, whatever the capital you'll be able to raise and sort of that philosophy will continue for the next, at least few quarters?
Tony Aquila: Yes, I think that's a great question, Dan. So to kind of dig deeper into that. So as you know, Dan, I've been criticized for raising incremental capital. I do believe, as you know, we've discussed that the more money the company has that we've seen from some of the others that have fallen if the burn rate gets too high. We focused on being scrappy, funding the company based on milestones and key events. And I think that is really actually started to turn to the favor of how the business is learned to operate. And we'll continue to do that because right now, from my personal perspective and perspective of our executive team, we're way under par. And so therefore, it makes no sense to do anything other than to do exactly as we're doing during these volatile capital markets.
Dan Ives: Got it. And in terms of just -- when you think about order flow and demand, it just depends on customers that are coming through Oklahoma. Does it feel like the conversations are changing like relative to, let's say, like 6 months ago to where they are today.
Tony Aquila: I think when you sign up for a test with a customer, like we won't even ride in order unless we've actually had our wheels on the ground with the customer and their workflow. So I think that has changed the conversation. Our conversations have steadily progressed. And I think also going back to being criticized in the beginning heavily about shifting to just fleets and government and military focus, these are the mandated markets. They are resistant to the economic because they're policy-driven activities as well as deep institutional coupled with the fact that we've built a platform that gives a return on capital for our clients. . So the conversations have been advancing right down to the specifications because our platform allows for some built-for-purpose modifications on the assembly line. So that has done really well. People like things like our quick reaction force, 86% of all the activities over the quarter was over the air, with only having to deploy advanced teams. And I think focusing in on customers that we can domino into markets like the U.S. Post Office, helping us launch into the U.K. and other right-hand drive markets so that we can get -- getting our FTC approval active now and the ability to build a couple of millions more square feet on our site, we have the ability to entice partners to bring into the area as they become partners to our growth or expansion and delivery of our platform. And obviously, it reduces our [indiscernible] cost, which makes it more cost efficient for our customers. We're very focused on having the most affordable and the most durable. And when you sign up for the worst test, like we love it because we learn something and we often modify something, and it makes our product better. Most people don't like signing up for those things. In this industry, you probably heard a few that have, but this is where we like to start.
Operator: Our next question is from Michael Legg with The Benchmark Company.
Michael Legg: It's nice to see all the progress being made. I wanted to dig down a little bit into the supplier that you had and understand the supply chain where it's positioned today. How are we with suppliers moving forward with, it obviously appears that a lot of the fleet orders seem to be on the horizon. So just kind of give us a walk through where we are supply chain-wise, please?
Tony Aquila: Yes. So look, I think we have a debt to pay to our suppliers for their patience because when I took over the business, I changed the direction of the company, which had an implication to many of our supporting suppliers. We went to a military-grade product, industrial-grade, repairability, redesign. So we threw a lot of shock into the system completely different customer base. And we have to kind of reharmonize all of that. We are at a place now, and that's why we had the event, which about 52% of the BOM was represented at the event. They got to see the factory, how it's coming together, how we're doing it in phases, how we're scaling according to volume and CapEx, so we don't get ahead of ourselves, like others. And then we put the people behind the wheel and put them in aggressive driving conditions, which they had a blast. And that really created a connection for them with what the pieces they've been supplying or the pieces we've been changing on them, they got to see the why because we put them in an aggressive test track environment, similar to the way we test it with our customers. And they walked away proud, and that means a lot. We now need to harmonize our capital into our supply chain, but we won't do that until we lock our high-volume customers specs down. So we can actually -- because remember, our model is we only build sold units. I want to get out of the business of building to sell. And I want to be very tightly integrated on multiple levels with our clients on a multiyear basis. And that is what we're focused on every single day with our supply chain now, we had took them on a bit of a hold cycle until we could get to this phase. We got lucky in being able to buy a lot of equipment at all-time lows when we entered this industry where it was at all-time highs. So look, it's going to take us a while to continue to prove ourselves. But hopefully, the things that are being seen will be eventually recognized in the value of the company.
Michael Legg: And then just on the customer side, a Red Sea Global, you had a favorable test there. With Jazeera Paints. Obviously, the order looks like it's coming through. You're working with Walmart for 2 years. You mentioned about putting together a delivery schedule at some point and communicating that with us. What do you think the timing of that may be?
Tony Aquila: Yes, it's a good question. So we are -- we work like a tech company with our customers. We don't say a lot -- we don't -- you notice we're not out bragging about any of the things we've done with Walmart in the last 2 years or what we've been doing for, frankly, over a year with the Red Sea. We let our clients decide what they communicate. We see ourselves as a part of their competitive advantage. And so eventually, this will become super surprising information. But it will be because we respect our customers -- we function like a TEM, not an OEM, and these things are deeply integrated into their strategy. So in the quarter, we anticipate a few of those to fully break through. And of course, we have indications that they would like to make them public. And we will follow through accordingly. I hope that answers your question as well as our discipline.
Michael Legg: Yes, it does. Great. I look forward to hearing them as they come through. And then just the last question. The R&D, the SG&A, we're very well controlled this quarter, much better than I had modeled. The EBITDA guidance is much better than I had modeled. So I assume the SG&A and R&D levels going forward should remain somewhat similar here? Or can you just comment on that, please?
Tony Aquila: Yes. Look, we're pacing ourselves right now. I think we're entering a phase, and that's why we talked about that we made it known that we're talking to the capital partners for this next phase. We're going to be very disciplined about how we deploy capital. I think it's going to be key to the survival of those as the industry emerges here. And in addition to that, depending on how that capital terms and conditions flow, obviously, we're focused on as much managing dilution as much as we can, which is difficult at this time. But over the long run, we're building a big company here. So we understand. And that may vary a little bit based on capital inflows, but then not a lot because one thing I talked to the team about all the time is it's not how much money you have, it's how effectively you can deploy it. And in this phase of a company's life, you do not get 100 cents on a dollar of efficiency. You have to humbly look at what's your leakage is and continuously be tightening your belt in your system. And I think the team is finally maturing in this area and understanding. And every $100,000, $150,000 is a software engineer, every $70,000 is advanced manufacturing personnel. So it's starting to resonate as a culture. It's a rebounding in this company. And I think I'm pretty proud of how they were very disciplined in the quarter, although we still had leakage that I'm constantly on their case about.
Michael Legg: Congrats on the progress. We look forward to continued progress over the year.
Operator: Our next question is from Craig Irwin with ROTH MKM.
Craig Irwin: Tony, I wanted to ask a little bit about the characteristics of the customers that you'd look to support with your early deliveries in 2025. Are there any specific things that you're highlighting or you're prioritizing as you look to allocate production in 2025. And would you be looking to primarily serve a small handful of strong, well-established long-term adopters or to seed the market with many opportunities where some can end up being larger than others over the next few years?
Tony Aquila: Yes. So that's, that's a good question -- sorry, Craig, it's a good question. What we've done is we focused on a few customers that have high volume, multiyear requirements and an implementation schedule in their internal system, often because of infrastructure charging that aligns with our ability to scale. So we're really trying to pair off all these things, so we're in harmony. In addition to that, it takes time when you work with sophisticated customers like Walmart, the Post Office, the Red Sea, these are -- these people are -- and Jazeera Paints, they're very focused on what these vehicles do and the return on capital in every mile. So from our perspective, we will always as long as we can focus on the few that allow us to sell the many. It's much more of a judo model than a boxing model. And that's one of the ways we keep our cost under control. We look at the United States like 50 countries under a flag and a currency, we are rolling out methodically through the U.S. in alignment with our customers. And so we're not scattered, we're not weakened. We're not burning capital. We're really focused on being profitable, starting to break through a 24,000 units production. So this -- and that excludes software revenue and accessories. So I hope that answers your question on -- we're just focused on the Grade A, BBB credit spread, high-volume, multiyear buyers that align with us, and we can deliver it for a purpose.
Craig Irwin: That makes a lot of sense. So as we look towards this production, can you maybe help us unpack what some of these announceable milestones could be that we could see from Canoo as a sort of external observers of your progress. Will there be announceable order commitments that we should expect exiting the year? Are there other commitments to the factory that we'll learn about publicly. What else should we be possibly looking for?
Tony Aquila: Yes. So again, I'll come back to being a tech company. So just like the tech companies you cover, Craig, they're much more IP guarded, rollout guarded. Like I said, we see ourselves as a competitive extension with our partners of their business. And so I think we'll enter an era where you'll start to see those customers that want to announce what they're going to do, being announcing it. And we do anticipate some of that coming through in the quarter.
Craig Irwin: Great. Well, congratulations on the progress here.
Operator: Our next question is from Stephen Gengaro with Stifel.
Stephen Gengaro: Can you talk a little bit about just just from an update perspective, the relationship with Walmart and kind of where things stand and kind of how we should think about like deliveries over time? I know this is longer term, but just any changes to relationship? And how should we be thinking about that?
Tony Aquila: One of the great things about our customer base is they actually appreciate no BS, right? I mean -- and they understand supply chain problems in quantums beyond ours. We have 180-or-so suppliers. Many of our customers have hundreds of thousands. And so we've learned a lot from them. But they've actually really appreciated, one, the fact that we wanted real testing before we signed up. Two, we wanted to make sure they had a multiyear view of what they needed for us, so we did not get whipsawed either in requirements and specifications. And so we concentrated on people who really had a long-term view of our business like we did. And I think that those elements have aligned well for us, and these are customers that get a high return on capital by moving to an electric platform. They're also -- we're very targeted on customers that have -- you don't have any range anxiety or charging issues for auxiliary charging until their full infrastructure is in place. So balancing all those things out, we've targeted -- if you take Saudi Arabia, it's not only the -- the Crown Prince has not only done some amazing things for the environment, but he's also liberated the environment so that everyone can drive, so you'll get multiple expansion for rooftop vehicles per household as well as their commitment to ecological distribution and service maintenance and repair activities on their sites. They're very progressive in this way as you probably know. And just in the Red Sea global project, I believe $30 billion has been invested so far. They are also very focused on return on capital and demonstrating to their guests a very cost-efficient ecological experience. Same thing we see with our other customers. And so we've been able to be insulated I think targeting in the U.K., which I give credit to Ramesh for leading the charge for us in opening the market. And great thanks to many of the people who worked with me in another company that have built in the U.K. in joining us and helping us get integrated with the top customers. And we'll be in testing. And again, we signed up to test in their specific use cases in Q4 in the wet, cold and difficult weather in the United Kingdom. We're trying to cover the game. And I think that's one of the things electric vehicles have failed to do is to get, if you will, muddy and bloody with the product and really test it because that -- if you don't do that, the anxiety with the customers is too high. And you also get surprised. So these vehicles take a liking [ph] and they're built for it. And they're repairable. And we learned a lot. This testing has saved our shareholders a tremendous amount of money because I have been around multiple vehicle launches for 4 years in the data side of this. And I would say this is one of the toughest products for its specific market use case at the best return on capital out there.
Operator: Our next question is from Amit Dayal with H.C. Wainright.
Amit Dayal: So Tony, with respect to the equipment that is now needed to complete the production set up, outside of the arrival assets, are there any other sort of critical equipment that you need to get ready for production?
Tony Aquila: Yes. So look, we continue to -- I hate to say it, but be the guys that kind of visiting every garage sale in the industry. And in fact, we have a team that just specializes on it and that's big dividends. We have some paint areas that we currently have, more costly manual steps as we move into more automation level, those are about the only things plus a few little gap pieces of equipment, but we have everything else that we need in Oklahoma City to do that. And the workforce that we've been hiring there we're really impressed. We've been relocating a lot of people. They really love the cost of living, the environment, the taxes and so on. So it's coming together. It takes time to build a great company and to do it in a tough market, you got to be very disciplined about it.
Amit Dayal: Understood. The approval for the free trade zone how should we think about you guys benefiting from that? In the long term, obviously, the benefits are clear. But in the near term, is there any advantages that we may not have sort of considered previously with this approval?
Tony Aquila: Yes. So it's a good question. So with us being able to -- the U.K. has been amazing, the government has been amazing, engagement with us because we have a track record there for many, many years and have worked with the government in the past. So we -- they understand we're serious. They love the fact that we're focused on a few customers that benefit to the government because almost all the customers are government-assisted funding. And in addition to that, they have stringent mandates that the new party, which has been elected is reinforced. And they've lost all of their manufacturing in this category just recently. India took Jaguar out of the United Kingdom. And we believe that with the free trade zone, we will be able to supply our MPP1 and create assembly jobs within the United Kingdom. And eventually, part of our supply chain that makes no sense to ship there, but we could bring those partners into the free trade zone, give them space in our building. So we're looking to build a long-term integrated model that is financially profitable for our customers as well as it is for our suppliers and keeping the cost of capital and the advantage of geographic expansion at the lowest possible cost. So we move together. And this gives us the ability to kind of migrate into those markets. So the free trade zone is very, very important. And we have 125 acres to work with directly on the I-40 [ph] if you've been there.
Amit Dayal: Got it. Also, it is interesting to note that you are sort of now -- you've kind of activated the OTA update capabilities. Can you talk a little bit about how complete this aspect of the customer experience is and what needs to be done to finish sort of this feature?
Tony Aquila: Yes. We have an amazing, I'm a software guy, so I'm absolutely proud of our software team and their ability. I mean, to actually get customer request and 48 hours turnaround of work flow, pretty awesome. We've got a young, very creative team, and they're very engaged. They love what they're doing and we successfully are deploying and pulling data for testing because these rigorous mile tests with these customers help us refine our engineering and understand the longevity and the underwriting model of our warranty schedules. So because the Post Office is starting and stopping the vehicle every 50 feet, right, I mean, if you will, it's idling out. And so it's got to be kept on temperature, you got to optimize speed, you've got optimized braking, torque, integrated workflows. Like I said earlier, we do keep that stuff guarded because that belongs to our customer as well. And we just are getting about it, and we'll be building them and deploying them. And the vehicles get a lot of attention when the customers deploy them. The U.S. Post Office, some of the people commented that they had literally been delivering the mail for X number of years and met few people, but driving these vehicles, many of their customers come out and ask about it. So it's cool to be able to do that, especially the vehicle that's bringing astronauts to the Artemis. I think we've put together the right things and the vehicle has the right ergonomics that the drivers are respecting the vehicles a lot. We had virtually no accidents, which is insane in these use cases because the drivers, one, the vehicle has great situational awareness; and two, when you respect them, they respect you.
Operator: Thank you. There are no further questions at this time. I would like to hand the floor back over to Tony Aquila for any closing comments.
Tony Aquila: We'd like to thank everyone again, especially our supporters, our believers. And for those of you that are our haters, we'll improve ourselves piece by piece and hopefully convert you. And with that, we look forward to updating you in the quarter and the team will have follow-up calls with those of you. And everyone, have a great rest of the quarter.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for your participation.